Operator: Good day, and welcome to the Carpenter Technology Fiscal First Quarter 2025 Earnings Conference Call. All participants will be in the listen-only mode [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to John Huyette. Please go ahead.
John Huyette: Thank you, operator. Good morning, everyone, and welcome to the Carpenter Technology earnings conference call for the fiscal 2025 first quarter ended September 30, 2024. This call is also being broadcasted over the Internet along with presentation slides. For those of you listening by phone, you may experience a time delay and slide movement. Speakers on the call today are Tony Thene, President and Chief Executive Officer; and Tim Lain, Senior Vice President and Chief Financial Officer. Statements made by management during this earnings presentation that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Carpenter Technology's most recent SEC filings, including the company's report on Form 10-K for the year ended June 30, 2024, and the exhibits attached to those filings. Please note that in the following discussion, unless otherwise noted, when management discuss the sales or revenue, that reference excludes surcharge. When referring to operating margins that is based on adjusted operating income, excluding Special Items and sales excluding surcharge. I will now turn the call over to Tony.
Tony Thene: Thank you, John, and good morning to everyone on the call today. I will begin on Slide 4 with a review of our safety performance. For the first quarter of fiscal year 2025, our total case incident rate was 1.2. This improvement represents a step in the right direction. Our rate has been elevated over the last couple of years as we integrated a large number of new employees into our operations, many of them with little or no experience with an engaged safety culture. During this time, we have invested in training programs for our employees, with a focus on identifying potential risks and minimizing the severity of injuries. As our employees gain experience and develop in our safety focused culture, we are seeing an improvement in our safety performance, but we still have more to do. Our goal is to be a zero injury workplace and we will continue to invest, and work to achieve that goal. Let's turn to Slide 5, for an overview of our first quarter performance. Obviously a great start to fiscal year 2025, with record first quarter earnings and a positive step up, to our full fiscal year 2025 earnings guidance. Specifically, in the first quarter of fiscal year 2025, we generated $117 million in adjusted operating income, the most profitable first quarter on record. This 70% increase over our then record first quarter of fiscal year 2024, is the result of continued improvement in productivity, product mix optimization and pricing actions. It is a testament to our solid execution, strong market position and unique capacity and capabilities that we are able to achieve these record earnings, during a time of near term uncertainty in the aerospace supply-chain. This is a strong indicator of our ability to produce continued earnings growth acceleration, as the aerospace supply-chain not only stabilizes, but embarks on an aggressive build rate ramp in the near term. Notably, the SAO segment continues to exceed expectations, delivering $134.5 million in operating income with an adjusted operating margin of 26.3%. This is a meaningful step up, from the 19.4% in the first quarter of the previous year. The focused productivity efforts are evident within the SAO results, as we were able to increase adjusted operating margin, even with lower sequential shipments. Further, we generated $13.3 million of adjusted free cash flow during the quarter with $40.2 million of cash from operations. In addition, we repurchased 32 million in shares during the first quarter as a part of our $400 million share repurchase program, which was announced on the last earnings call. Altogether, our first quarter performance sets a strong foundation for our fiscal year 2025 financial goals, which I will discuss in more detail later in the presentation. Now let's turn to Slide 6, and take a closer look at our first quarter sales and market dynamics. In the first quarter of fiscal year 2025, sales decreased 9% sequentially and increased 17% year-over-year. Sales were roughly as expected with the majority of the sequential sales decline, driven by our planned maintenance outages as we discussed on the last earnings call. In the aerospace and defense end-use market, sales were down 7% sequentially and up 34% year-over-year. Aerospace and defense first quarter sales represented our best first quarter on record, beating our next best first quarter by over 20%. Within aerospace and defense, engine sales were roughly flat sequentially. Engine sales continue to see strong MRO demand and customers continue to work to get caught up on past due demand. Defense sales were up sequentially as defense demand remains robust, due to ongoing world events and strong pull for advanced critical solutions. The other aerospace submarkets were down sequentially, largely reflecting available manufacturing capacity in the quarter as I mentioned earlier. Altogether, our aerospace and defense shipments ended in line with our expectations, and represent another very strong quarter. Moving to our medical end-use market, sales were down 20% sequentially and up 10% year-over-year. Together with aerospace and defense, the two end use markets continue to grow in share of overall revenue, at approximately 74% of our total sales. Patient demand and patient backlogs continue to grow and the overall outlook for market demand remains positive, and we have realized very strong growth in medical, well above market rates as indicated by our year-over-year growth. The sequential decrease in sales is partly driven by lower shipments, due to fewer operating days in the quarter. We also had some delayed shipments in our Dynamet facility, due to the hurricane in Florida, and we are coming off a record sequential quarter for comparison. We are reminded daily of how critical our solutions are in the medical end-use market, as our customers continue to emphasize the desire to grow further with us, in a variety of new applications that require our unique material solutions. Looking at the energy end-use market, sales were up 8% sequentially and up 35% year-over-year, driven by ongoing high demand and positive long-term fundamentals. Notably in power generation, we have seen increasing urgent demand for our materials, giving us the ability to opportunistically shift production, to support the demand. The alloys that go into these applications are similar to our aerospace materials, and carry similar margins. We are working with our power generation customers, to continue to identify opportunities, to slot the demand into our production schedules. Altogether underlying demand in our key end-use markets remains robust, and our long-term outlook continues to be strong. Now, I will turn it over to Tim for the financial summary.
Tim Lain: Thanks Tony. Good morning everyone. I'll start on Slide 8, the income statement summary. Starting at the top, sales excluding surcharge increased 17% year-over-year on 3% higher volume. Sequentially, sales were down 9% with a similar reduction in volume. The year-over-year growth in net sales was driven, by our improving productivity combined with the ongoing shift in product mixed, as we continue to focus our capacity on our most profitable products as well as the realization of higher prices. The improving productivity and product mix is evident in our gross profit, which increased to $176.3 million in the current quarter, up 42% from the same quarter last year. SG&A expenses were $59.1 million in the first quarter, up $4 million from the same quarter last year, and down roughly $6 million sequentially. Note the SG&A line includes corporate costs, which totaled $24.4 million in the recent first quarter when excluding the special item. As we said last quarter, we expect corporate costs to be approximately $23 million to $24 million per quarter for the balance of fiscal year 2025. Operating income was $113.6 million in the current quarter, or $117.2 million of adjusted operating income, which is 70% higher than the $69 million in our first quarter of fiscal year 2024. As Tony mentioned earlier, this represents a record first quarter operating income result. We continue to build operating momentum and expand margins, delivering total company adjusted operating margin of 20.3% in the current quarter. Moving on to our effective tax rate excluding special items, which was 16.4% in the current quarter. The effective tax rate was comparable to the same quarter last year, due to benefits associated with vesting of certain equity awards in both quarters. For fiscal year 2025, we continue to expect the effective tax rate to be in the range of 21% to 23%. Adjusted earnings per diluted share, was $1.73 per share for the quarter. The adjusted earnings per diluted share results exclude the impact of restructuring and asset impairment charges, associated with actions to streamline our additive operations. In summary, the adjusted earnings per diluted share results for the quarter of $1.73 demonstrate solid execution in a challenging near term operating environment, given the supply chain uncertainty in the aerospace industry. Now turning to Slide 9, and our SAO segment results. Net sales excluding surcharge for the first quarter were $510.9 million. On a year-over-year basis, sales were up 22% on flat volume. The year-over-year comparison reflects the impacts of higher realized prices, and an improving product mix as we actively managed our portfolio, to focus on using our capacity for the highest margin solutions. As we had anticipated, sales were down 9% sequentially on 12% lower volume, reflecting the impacts of equipment availability across the operations, due to planned maintenance activities, and fewer working days offset by realization of higher prices. Moving to operating results, SAO reported operating income of $134.5 million in the first quarter of fiscal year 2025. As Tony mentioned, the operating results exceeded our expectations, and represent a record first quarter for SAO. The improvements we have made in areas of productivity, product mix and pricing are evident in the adjusted operating margin, which has increased to 26.3% in the current period. Some additional context for the current quarter's results. On a sequential basis, operating income was down $6.4 million despite a $48.6 million reduction in sales. This is meaningful and demonstrates the team's efforts to realize further price increases and closely manage costs, while enhancing productivity. The SAO team remains focused on executing actions, to further increase and maintain consistent production levels, and to actively manage the product mix to maximize capacity, for our most profitable products. The SAO's team focus remains unchanged from the last several quarters. In the current environment, the focus is even more relevant as we actively manage our production schedules, to adjust to changing customer priorities. Looking ahead to our upcoming second quarter of fiscal year 2025, we anticipate SAO will generate operating income in the range of $134 million to $139 million. Now, turning to Slide 10 and our PEP segment results. Net sales excluding surcharge in the first quarter of fiscal year 2025 were $92.4 million, roughly flat from the same quarter a year ago and down 10% sequentially. In the current quarter, PEP reported operating income of $7.3 million, compared to $9.1 million in the same quarter a year ago and $10.6 million in the fourth quarter of fiscal year 2024. As we said in the past, Dynamet is the driver of the PEP segment. As Dynamet represents a significant portion of PEP sales, and an even greater percentage of PEP's profitability. Dynamet's fundamentals are very comparable to SAO, including a strong market demand backdrop in the medical and aerospace end-use markets, which accounts for approximately 95% of their sales. The focus of Dynamet has been, and will continue to be working to improve productivity, and expand capacity to increase our output. Those efforts have driven improved results in Dynamet, which has increased profitability by 50% in our recent first quarter, compared to the same period last year. With that said, Dynamet is not the only business in PEP. Our additive business, although not material to overall Carpenter Technology, has recently seen a push out of demand from certain key strategic customers. With that in mind, we currently anticipate that in the upcoming second quarter of fiscal year 2025, the PEP segment will deliver operating income in the range of $6 million to $7.5 million. Now turning to Slide 11 in a review of cash flow. In the current quarter, we generated $40.2 million of cash from operating activities, compared to $7.4 million in the same quarter last year. The results were driven by improving profitability and disciplined working capital management. The cash generation in the current quarter, is an important step towards delivering our full fiscal year adjusted free cash flow target. For the current quarter, we spent just under $27 million on capital expenditures. Our target for capital spending in fiscal year 2025 remains at $125 million. With those details in mind, we reported adjusted free cash flow of $13.3 million in the first quarter of fiscal year 2025. Beyond the cash flow we generated, we began executing against the recently authorized share repurchase program. In the first quarter of fiscal year 2025, we purchased $32 million of shares against the $400 million authorization. The share repurchase program reflects our balanced approach to capital allocation and complements the longstanding quarterly dividend. Finally, our liquidity remains healthy. We ended the first quarter of fiscal year 2025, with $499.1 million of total liquidity. That includes $150.2 million of cash and $348.9 million of available borrowings under our credit facility. With that, I'll turn the call back to Tony.
Tony Thene: Thanks Tim. Now let's turn to the fiscal year 2025 outlook. We have been on a remarkable journey over the last two years. At our Investor Day in May 2023, we laid out a path to double our fiscal year 2019 operating income by fiscal year 2027. That four-year goal represented a 40% compounded annual growth rate, for operating income from our expected fiscal year 2023 performance. Even with such impressive growth, there were opportunities to exceed expectations, by improving productivity, optimizing product mix and realizing pricing actions. As many of you followed along, we did just that, accelerating our earnings growth through fiscal year 2024. This led us to pull in our goal twice. First, during our April 2024 earnings call, we pulled our goal ahead at least one year into fiscal year 2026. This increased operating income compounded annual growth rate, to approximately 55% over a three-year period. Then, in our July 2024 earnings call, we pulled our goal in another full year. Following a record year of profitability. The goal, pulled in two full years, now represents an operating income compounded annual growth rate, of over 90% from FY '23 to FY '25. After a strong start to fiscal year 2025, we are now increasing our guidance again to the high end of the $460 million to $500 million range. We believe we can achieve this despite the current uncertainties in the aerospace supply chain, because of our continued execution, strong market position, and unique capacity and capabilities. And the team is not satisfied with just meeting targets. Our team is focused on exceeding expectations. To that end, we have line of sight to activities that could push operating income, for fiscal year 2025 even higher above the $500 million mark. They include improving productivity to unlock incremental capacity, and working with customers to pull in high value orders. And as we look ahead, what is now our fiscal year 2025 target will not be the peak of our earnings growth, based on our current projections. The same dynamics that are driving our current performance, are expected to only get stronger into the future. The fundamentals of the aerospace industry remain strong, with more people wanting to fly than ever before. And macro trends are pushing our customers across our end use markets, to our highly specialized material solutions, as we've seen in the medical end use market. As a result, our customers remain focused on the surety of supply, to meet their long-term growth needs. We believe that through solid execution, our strong market position and our unique capabilities, we are well positioned to continue our earnings growth momentum. Now let's turn to the next slide for my closing comments. To close, let me summarize our first quarter performance and outlook. Carpenter Technology just delivered a record first quarter, a 70% increase over the first quarter a year ago, which was then a record for the company. We increased margins in our SAO segment again reaching 26.3% a new all-time high. We generated positive adjusted free cash flow in the quarter. We began executing against our $400 million share repurchase program, returning cash to our shareholders. And after pulling a four-year target in by two years, today we've increased our guidance again to the top end of the $460 million, the $500 million range for fiscal year 2025, with a drive to go beyond the $500 million mark. All of this despite the current near term uncertainties in the aerospace supply-chain. Further, we see our long-term growth outlook strengthening. Demand across end-use markets continues to grow, as we expand relationship with our customers, to address their challenges and capture growth opportunities. And we remain focused on improving our execution as demonstrated by our accelerating performance, over the last several quarters. We believe we are in the early stages of our growth journey, and we will continue to deliver value as we drive to exceptional near term and long-term performance. Thank you for your attention. And now I will turn the call back to the operator.
Operator: Thank you. [Operator Instructions] We have the first question from the line of Gautam Khanna with TD Cowen. Please go ahead.
Gautam Khanna: Hi, good morning, guys.
Tony Thene: Hi, good morning, Gautam.
Gautam Khanna: Tony, I wanted to get your - some color from you on what's going on with respect to the aerospace customers. Are you seeing any destocking, or deferral requests and if so, kind of in which product areas? And then, you've mentioned backlogs remain at near record highs. I'm just curious, like did incoming orders slowdown just given the strike and everything else? Wanted to get your perspectives on that? Thanks.
Tony Thene: Yes, thanks Gautam. Good questions. There's a couple in there, so let me kind of take them one-by-one. First orders for the quarter, I don't want to get into specific figures. But I can say that incoming orders were down sequentially, although they accelerated towards the end of the quarter. Obviously, we're coming off a record booking quarter last quarter. So it's a, we're comparing to a very high, very high point. I can also add that we, obviously, with what's going on in the market today, you have some of the aerospace customers that are taking a bit of a wait and see approach, especially those that are very heavily weighted towards Boeing. But that's been offset with strengthening orders in other end-use markets, specifically power generation, when you see the big demand from AI data centers. So that's been a positive offset. I mean, overall, the backlog still is above 2 billion lead times and key products still remain extended. So certainly, there's some uncertainty in the aerospace market today, but we have a very healthy order backlog, and the orders intakes coming in seems strong as well. So that covers your backlog and your order intake question. I think the other question you had was really about, how customers are reacting right now, and do we see any type of deferrals, or I think you said inventory build in the system. And I can address that one by saying, obviously we don't have perfect visibility into the inventory throughout such an extensive supply chain. And certainly, the supply chain doesn't always operate smoothly, as you well know. So there's always been this tendency of building and then de-building. What I can say, though, with a high level of confidence, is first, as it relates to MRO demand, we continue to see emergency requests from customers for more material. So that remains very strong, as an offset to what you see, maybe more so on the OEM side. And I can give you an example. It just happened a couple days ago. We're on the phone with a particular OEM, discussing, a likely line down for them, a production line being down for them, and how could we adjust our manufacturing plans, to support that urgent need? So our strong sense of demand in this area, is that more is needed and the majority of people are still behind. So certainly, we've got to work through this period of uncertainty right now. But overall, I mean, for Carpenter Technology, and again, I will say it's going to be different for everybody in the supply chain, Gautam, as you well know, right. I mean, people that are much more concentrated with a specific customer are going to have a different outcome for us, because of our breadth of services and capabilities. We believe we're able to navigate that very strongly over - the near term.
Gautam Khanna: And as a follow-up, do you feel like you guys are, you mentioned the backlogs are still extended, but do you feel like you're kind of caught up with underlying demand, or because in prior quarters you've mentioned, hi, if we could ship more, if we had more throughput, we would have customers willing to take more product. Has that cushion kind of evaporated, or is that still the case where like….?
Tony Thene: That's a good question. Thanks for asking. Again, it's customer specific. I mean, if we have customers that have a very high percent of their portfolio dedicated to one specific customer, are they taking a more wait and see approach, absolutely. But we have other customers kind of referencing the example I gave you earlier that, are still trying to catch up, that have exposure to other areas in the aerospace supply chain, to other customers, and they're moving forward. That's really an advantage that Carpenter Technology has with this large backlog. Obviously, we know exactly what's in that backlog, and we're able to pull those forward to inside our production schedule now, because not everybody is in the same situation. And certainly, we have people that are still trying to move forward in the supply chain. I mean, the production schedule and some of this uncertainty, with Boeing is giving them the opportunity to do so.
Gautam Khanna: Great. Thanks, Tony. I appreciate it.
Tony Thene: Yes. Thank you, sir.
Operator: Thank you. The next question comes from Josh Sullivan with The Benchmark Company. Please go ahead.
Josh Sullivan: Hi, good morning.
Tony Thene: Hi, good morning, Josh.
Josh Sullivan: I just want to touch on how do, we think of seasonality at this point. Historically, there's a reason you report Q1 this quarter you're up what, 70% year-over-year. But how do we think of that historical seasonality in some of the changes versus the current underlying market conditions, particularly when we're looking at some of the metrics, incremental margins or others?
Tony Thene: Well, it makes it tough, doesn't it, Josh? It makes it tough to model, when you can't rely on some of those historical norms anymore. I mean, we are effectively in a sold out situation, even with this uncertainty that we have in the market today that, we hope is behind us in the near term. So really, when you think about quarter-over-quarter, or sequential quarter, the only real difference between the quarters are the number of days that you operate, right. And that's why you've heard us talk about solid, proactive plan maintenance to keep this earnings engine moving. So the bottom line is the timing and the duration, of those plan preventive maintenance events, is really the determining factor between quarters. Obviously, another determining factor is we continue to increase our productivity. New contracts continue to roll in. That pushes that higher. But we're in a period now where you talk to folks inside of our plants, we're trying to maximize the output and optimize the product mix. So, I mean, every quarter is going to be a significant quarter. And just, because you have maybe a slight decrease in a sequential quarter certainly is no reason for a red flag. It's just, because we had less operating days in that quarter, or we took more planned maintenance in that quarter. And that's really the only distinction between them right now. It's a good place to be.
Josh Sullivan: And then just given some of the cross currents in the industry, and there's still a need for long-term capacity growth. What are your thoughts, or what are the conversations around increasing capacity at this point?
Tony Thene: Well, we're always looking at that. I mean, if you see, again, one of the reasons why we have been able to continue to drive earnings growth, right, there's three big areas, and one of those areas is productivity. So, we believe I mean, our belief is there's always a, there's always hidden capacity in our factory. There's always ability for us to get better. A prime example. And I think, Josh, we've talked about it in the past. And obviously you visited our facilities, so you're very aware. If you look at primary melting, and if you can find ways to safely and at a high quality increase that daily production, that's a massive impact on profitability. I mean, it's a massive impact. So that is an area that our folks out on the shop floor are keenly focused on, and making great strides. And that's what you've seen over the last three or four quarters. And they're very motivated to keep moving forward. So that ability to continue to increase capacity, through productivity is a big deal, right. Now, secondly is what can we do internally, organically to increase capacity? And I think, I've said this more than once externally, is we're looking at those, it's our job to look at those. As shareholders, you want us to look at ways that we can add capacity organically. Spend some capital, get a high rate of return project to push that to the next level. We said this many, many times. Any capacity like that, we add is not going to upset the supply demand situation we're in. I mean, we have demand far outstripping supply, and that's not going to change by what we may do. But it certainly can increase our profitability even as an accelerator to the next level. So, we're looking at those as we speak, to try to see what we can do - can do in that area as well. Hopefully that answered the question.
Josh Sullivan: Yes, absolutely. And I just sneak one last one just to that point on productivity. I mean, is there anything you can provide us on scrap rates, or throughput or how are we measuring that productivity externally?
Tony Thene: Well, all of those areas, certainly. I mean, as you know in productivity and running a product through the plant, there's multiple areas that, that drive into that overall productivity number. Certainly scrap rate or if you would say, first pass recovery. Do we have to bring that product back for a, for any rework? That's massive, so that is where we're really focused. I mean, I could probably tell you our primary focus outside of getting those rates up, in some of those primary work centers is reducing the amount of that rework. Every pound, every ton that you can reduce that doesn't go back and get a little extra grinding, or whatever it might be. It's massive impact, again on the productivity. So those are two areas that are really a forefront for us on a daily basis.
Josh Sullivan: Great. Thank you for the time.
Tony Thene: Thank you.
Operator: Thank you. The next question is from Scott Deuschle with Deutsche Bank. Please go ahead.
Scott Deuschle: Hi, good morning.
Tony Thene: Hi, good morning, Scott.
Scott Deuschle: Tony, was the average price of what moved into the backlog, for new orders this quarter higher than the average price of what was already in the backlog, at the start of the quarter?
Tony Thene: Yes. You're going to probably see that from now on going forward. There could be, I should say, yes. I mean, there could be some times where maybe that's a bit. A bit off, but I think certainly going forward, you're going to see that at least the trend line of that. Scott, going up. Yes.
Scott Deuschle: Okay. And if it didn't go up, it would just be, because of the mix probably, of what went into…?
Tony Thene: Correct, and that's why I hesitated a little bit there to say the trend line. I mean, I guess there could be a, situation where that mix of orders were very high in one area that could do that. But in totality, going forward, you're going to see that rise - based on that as the contracts continue to renew.
Scott Deuschle: Thank you. And then, was the 35% growth in energy revenue this quarter? Was that entirely driven by IGT? And were the non-IGT pieces of revenue actually down?
Tony Thene: It's 100% driven by IGT. That's a great question. I mean, inside that market, as you know, we've got the IGT piece, and then the oil and gas. Oil and gas was down in fact, a little bit sequentially, and year-over-year, I'll give you a number that's really interesting. The IGT piece up 200% year-over-year. So that's another area. Yes. When somebody says, wait a minute, how can Carpenter Technology produce these numbers, with all of this noise in the aerospace industry? And we say well, listen, we have the ability, we have optionality. We have a market here that we've been in for a long time that now is exploding, and we're able to take advantage of that. And we have these customers coming to us, wanting to jump into the production line, willing to pay aerospace margins. And now with some of the uncertainty in the aerospace chain – supply-chain, they have the ability to do that and looking to further extend that relationship. So that's a big advantage for Carpenter Technology that I think sometimes, Scott, maybe goes unnoticed, and certainly not everybody enjoys it.
Scott Deuschle: And can you remind us where your alloys are found on typical industrial gas turbines and who you would be shipping to?
Tony Thene: Well, think about anybody, without naming names, think about anybody that's making the large IGT turbines mean - it's just - it's a jet engine on land, right? So you have some of the same type of products. I mean now, what we ship into that market is a little bit. It's a different alloy than that goes into aerospace engines in this case, but it has similar production process, at least on the front end of the melting cycle. The finishing part is a little bit different. So it's a very. A very attractive product for us.
Scott Deuschle: Okay. And I'll sneak one last question. And Tim - are the push-outs at Dynamet, are those just aerospace, or is that medical, or is that another end market? Thanks.
Tony Thene: Yes, Scott, the push-outs were actually an additive not in Dynamet. And yes, I think you can characterize those as more aerospace type materials in our additive business.
Scott Deuschle: Okay. Got it. Thanks.
Operator: Thank you. [Operator Instructions] We have the next question from Andre Madrid with BTIG. Please go ahead.
Andre Madrid: Hi, everyone. Thanks for taking my question.
Tony Thene: Good morning.
Andre Madrid: I guess, looking forward, I see power generation, obviously we just talked about that. Doing a lot to fill in the gap in the interim or the immediate term, but looking long-term, I mean, maybe beyond '25, are these markets enough to offset any potential weakness at aero?
Tony Thene: Well, Andre, I think most of us don't believe that any weakness in aero is going to be long-term, right. I mean, the macro demand is just too strong. We all believe that in this case here, Boeing will find a way to reach an agreement that's good for both sides. And I believe that's going to happen, right. So I don't have any fear that in the long-term that you're going to have aerospace weakness. This is a near term phenomenon right now that we'll get through. And when that happens, I mean you just, you go into a whole different, level of demand outstripping supply. So you could see forward, going forward, you're going to have pyrogen competing, to get on to the assets, not being a replacement. And I think that's the mindset you need to have, as we get through this kind of choppy period for aerospace right now.
Andre Madrid: Got it. Got it. And then I guess just, I know you mentioned in the slides and on the call, growth beyond '25, definitely expected. And obviously your comments just now kind of further confirmed that, that's the expectation. But I mean, how should we think about the cadence, like, obviously '26 is going to be a really tough comp coming off this year. Could it be exacerbated if issues continue any further? I mean, I know you say they won't, but what if?
Tony Thene: Well, I mean, we can play a lot of what ifs, right? And I can just tell you from my experience in the industry, talking to other major players in the industry, this is going to get resolved, right? It's too big not to get resolved. So this gets resolved. I mean, and I'll push back when you're saying that 2026, our fiscal 2026 will be a tough comp to 2025. I mean, we see it as being bigger than 2025, even when we're running a wide range of different build rate scenarios. I mean, with what we're doing on the productivity side, product optimization, the repricing of contracts, from our viewpoint, we see 2026 as another meaningful step up versus 2025. And I think that's what everybody's got to get, aligned with. I mean, this is not - a doom and gloom situation. This is a particular point in time where we have some significant uncertainty. Certainly with a large player in the industry, there's no doubt. But companies like Carpenter Technology and others, I think the strength and the attractiveness of people that want to own our stock, is the fact that we can pivot. It's the fact that we have optionality. It's the fact that we have the ability to move and support MRO. To support other customers that are using this as an opportunity to grow and move up in line, in the production line. So to me, this is a very, very exciting time. It's actually a very positive time that, you can see somebody like Carpenter Technology can perform like they do, in this type of environment. And when we get back to more normalcy, if you will, and then an aggressive ramp, I mean, sky's the limit.
Andre Madrid: Got it. Got it. And if I could just sneak one more in, more additive charges this quarter. Is this just overflow from last quarter's facility closure?
Tony Thene: Yes. So it's just to be really transparent, that was just a little bit of inventory that was left over that, arguably we probably should have taken in the prior quarter. And just got to the point, said that's not going to work, and just go ahead and move on, and get that behind us.
Andre Madrid: So we're probably through the full of it?
Tony Thene: Yes, but Andre, let's just say that there's not, I mean, we're this it's not even material. What you're talking about $1 million on a 100 and 135 and SAO. So it's not, it's not.
Andre Madrid: Yes, no, definitely no it just, just housekeeping. But now, I really appreciate the color and all the answers. I'll jump back in. Thanks.
Tony Thene: Yes, thank you.
Operator: Thank you. The next question is from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Phil Gibbs: Hi, good morning. Good call so far. Thank you.
Tony Thene: Yes, good morning.
Phil Gibbs: Tony on the SAO bridge for Q2 looks to be flat to a little bit up in terms of profitability. Is that more driven by volume, or more driven by price mix? Because I can't remember if this quarter typically is seasonally a little bit stronger, or weaker relative to the one you just took the preventative maintenance on in Q1?
Tony Thene: Yes, thanks, Phil. This is really the same answer that Josh asked earlier about quarter-over-quarter, right. I mean listen, you're going to take preventive maintenance, some type of planned maintenance activity in every quarter. If you're not, you're not running your facility the right way, you're going to be doing planned maintenance every quarter. Our people that have visited our plant realize our plant, how big they are. So you're doing planned maintenance every quarter. So if you look at Q1 to Q2, relatively, I think about the same amount of production days, comparing the two quarters together, certainly you've got two big holidays in there. It's the end of the calendar year for some other people, some most other customers. So that's a little bit annoyed. So I think the fact that we can guide to a, higher in the second quarter, even with those types of issues is pretty, not pretty. It's a very strong, it's a very strong quarter. We're operating with some really big numbers, Phil, you've been around for a while, and knowing what they were, even in 2018/2019, when we thought that was a great aerospace time. I mean, we're two and three times higher than that right now.
Phil Gibbs: Thank you so much. And then on your full year guidance toward the higher end, and you made some comments on there's opportunities perhaps to exceed that guidance. Is that in your mind, more volume or more volume, obviously excluding seasonality, which is stronger in the back half, or more pricing dependent?
Tony Thene: Well, all three of them, right? I mean, anytime we talk about how we're going to move forward, it's going to be all three of those major legs to the stool, right? It's going to be what happens from contract pricing, product mix optimization, and certainly productivity. So, we're looking at that all the time. I mean, certainly, we're very methodical with our guidance updates, and then we achieve them. So, we've earned that reputation. And we took a step here by moving to the high end of the guidance. And as we speak, the folks out in the plant are, working on how they can move past that. And stay tuned as we have - as we go forward our next couple of calls and seeing updates with that.
Phil Gibbs: And a last one from me, this acceleration comment you made toward the tail end of the quarter, was that more so? Was that more so on the MRO side, essentially, because you said that some expedites again and some emergency work there, where - would you have seen the acceleration, I guess, relative to early in the quarter? Thank you.
Tony Thene: Yes, I would - just say in general, in the aerospace side, whether it's for MRO or OEM, depending on the customer, but the acceleration towards the end of the quarter was primarily on the aerospace side, although I mean, other areas as well, certainly power generation and others, but primarily aerospace was where we saw that pick back up towards the end of the quarter. And that's good news.
Phil Gibbs: Absolutely. Thanks.
Tony Thene: Yes. Thank you, sir.
Operator: Thank you. We have a follow-up question from Scott Deuschle with Deutsche Bank. Please go ahead.
Scott Deuschle: Thanks. Yes Tony, do you see much demand in the space market for alloys from companies like SpaceX? And if you do, has that demand reached a point where it's at all material yet?
Tony Thene: Yes, I mean, specifically with the customer that you talked about? I don't want to go too far. I mean, that's, that's an additive customer, right? So - and there are major players. So that's some of the choppiness that you see in order. So yes, strong, yes still, still small, but it's not consistent. So for a very small business like additive, that's what you see, the swings in their profitability from quarter-to-quarter, depending on how those orders come in, right. I mean, if you look at the additive market, not to spend too much time on additives, since it really doesn't drive, drive the bus. But you have a couple big players in that market, and then you have a very long tail of smaller players. So, if you have some movement in those big ones, it can - really, move the profitability in a quarter-to-quarter basis.
Scott Deuschle: Okay. Thanks. That's all I had. Appreciate it.
Tony Thene: Yes, yes. Thank you.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. John Huyette for any closing remarks. Over to you.
John Huyette: Thank you, operator. And thank you everyone for joining us today, for our fiscal year 2025 first quarter conference call. Have a great rest of your day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.